Operator: Hello, ladies and gentlemen. Thank you for standing by for ZEEKR Group's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen only mode. Today's conference call is being recorded. I would now turn the call over to your host, Mr. Yuan Jing, the CFO of ZEEKR Group. Please go ahead, sir.
Yuan Jing: Thank you, operator. Good day everyone. Welcome to ZEEKR Group’s first quarter 2025 earnings conference call. Before we continue, please be reminded that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statement is involving current risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain company filings with the U.S. Securities and Exchange Commission. The company does not take any obligation to update any forward-looking statements, except as required under the applicable law. So joining us today from ZEEKR Senior Management are Mr. An Conghui, Co-Founder and CEO; and myself, Jing Yuan, the Group CFO. Our CEO will make his remarks in Chinese, followed by an English translation before turning the call to me for a review of our financials. And I will talk about our financials in English. With that, I will now turn the call over to our CEO, Mr. An, please.
Conghui An: Hello, everyone. Thank you all for joining ZEEKR Group's first quarter 2025 earnings call. First and foremost, I would like to extend my heartfelt thanks to our users, employees, and partners. Over the past 4 years, your unwavering support and long-term trust have made it possible for us to achieve what once seemed impossible. With the ZEEKR-001 we transformed the shooting-brake from a niche segment into a mainstream option for our customers ushering in a new era for this category in China. Meanwhile, the ZEEKR-009 topped the luxury segments by storm, becoming the top selling model in the over RMB400,000 luxury MPB [ph] category, and pioneering a new market for premium pure electric MPBs [ph]. And to your believing us, ZEEKR has reached nearly 500,000 users worldwide carving out a third-part in the new era of intelligent electric mobility. As of the end of the first quarter, following the strategic integration of ZEEKR and the Lynk & Co brand, ZEEKR Group's global user base surpassed 1.9 million, and yes, rapidly approaching the 2 million mark. Looking ahead, we will continue to redefine luxury through exceptional service and elevate the premium automotive segment with cutting-edge technologies. Amidst the industry's transformation, we remain firmly committed to innovation as we expand our presence in the global premium market. Since February, after we integrate the [indiscernible] and the ZEEKR brand into ZEEKR Group. ZEEKR Group has driven progress through a series of strategic initiatives, including joint product R&D, upgrades to our manufacturing systems, enhanced the user engagement, and a stronger coordination across domestic and international channels. These efforts have accelerated the platform-based technology sharing and unlocked economies-of-scale generating a notable improvement in profitability. From January till March, ZEEKR Group delivered 114,000 vehicles, marking a 21% year-over-year increase and solidifying our position among the leaders in China's premium EV segment. ZEEKR Group's first quarter revenue reached the RMB22 billion with vehicle revenue upto RMB19.1 billion. Vehicles gross margin reached an impressive 16.5% with the ZEEKR brand margin rising to 21.2%. Next, let me outline our 3 key areas of focus for driving sustained growth; products, technology, and the channel expansion. Let's begin with our product lineup in line with our brand strategies that is elevating the ZEEKR brand in the premium segment and expanding the Lynk & Co brand’s market reach. We have further enriched our product portfolio and enhanced the overall competitiveness. As high-end premium and hybrid vehicle emerged as key growth engines in China's auto market, we are actively adapting to the evolving landscape. The ZEEKR brand continues to make bold strides in the premium space. In April 15, we launched the ZEEKR 70T, a high tax shooting-brake coupe [ph], further strengthening the ZEEKR shooting-brake family. We produced over 10,000 ZEEKR 70Qs for delivery in a models the first month [ph]. The ZEEKR-009 rather collected the edition hosted by the high profile endorsement, has quickly become a sought after choice among top tier buyers. Furthermore, the ZEEKR 9X positioned as the new energy era’s most luxurious flagship SUV. It was the first super electric hybrid model built on a full stack 900 volt high voltage architecture. The entire lineup delivers a zero to 100 kwh acceleration in just 3 seconds. Its ground-breaking super electric hybrid technology which we began developing 3 years ago, seamlessly combines the advantages for a pure electric plugin hybrid and the range extender system. This enables a driving experience comparable to that of a pure EV without any worry of a range of anxiety. By strategically tapping into both, luxury and the hybrid segment, the ZEEKR 9X captured widespread attention from global media outlets, industry peers and consumers at the Shanghai Auto Show [ph]. Meanwhile, the Lynk & Co brand continued to solidify its presence in the premium segment while broadening both, the power chain lineup and the customer base. Following the strategic integration, we launched the Lynk & Co 900 in April, a smart 6-seater flagship SUV powered by EMP hybrid technology. The delivery volume of the Lynk & Co 900 has surpassed the data of the models with highly publicized pre-orders in the market. This model has secured the far over 30,000 pre-orders to-date, and the order data shows strong demand for the high spec 2.0 turbo ultra-model; 80% of our customers choose that variant. And particularly among the users upgrading on replacing their existing models, notably over 30% of the orders are from former [indiscernible], BMW and Audi drivers. Highlighting the Lynk & Co 900 solid performance, both in terms of the sales volume and the premium market appeal condition. And I understand that many investors are very interested about our future product offering. Looking ahead, Lynk & Co with the largest first EMP mid-to-large sedan in the second half of this year, while ZEEKR Group, whether there are the ZEEKR 9X and another large luxury SUV, 8F in the third and the fourth quarter respectively. Those equipped with the cutting edge super electric hybrid technology. This compelling lineup of a competitive, highly differentiated models promises to ingest fresh momentum into our business and build a group sustainable, steady growth. In the era of intelligence driving, Chile has unified its approach across brands and officially launched its standard intelligence driving assistance solution that is the G-Pilot. Future; as ZEEKR Group models will feature the G h7 and h9 [ph] systems. Among them, the ZEEKR 9X will be pivotal with the G-pilot h9 [ph] system and offer the level 3 ready intelligence driving assistance capabilities. It is expected to enter the mass production and delivery by the end of this year. Meanwhile, the newly launched the Lynk & Co 900 incorporates the advanced G pilot, h5 and HTML systems. It's also the first production model to NVIDIA’s drive HAX [ph] platform, and the come and says crypto with its advanced evasion system for the GAS. And continuous automatic invasive technology originally used by the ZEEKR brand. In the second half of this year, Lynk & Co’s upcoming EMP ventured large sedan [ph] will also be equipped with the NVIDIA’s sword chip, SOC, and adopted G5 extended platform. To simply put, we will find a very good synergy in the area of ADAS for ZEEKR and the Lynk & Co brands. In the smart corporate ramp [ph], the ZEEKR and Lynk & Co with shared domain controllers and the electric co and an electronic architecture; each brand would maintain its distinct user experiences at publication level, ZEEKR vehicles will continue to use; they continuously use the ZEEKR iOS while the Lynk & Co with years of fly auto -- as to simply put, the 2 brands with a lot in common but still have a different applications. In EV battery technology, ZEEKR Group's susceptibly block the golden battery has ushering a new era of out-of-bus charging for lithium ion for state batteries. They are coming the LSP [ph] battery system to subtract all mass produced; lithium batteries in charging speed. It is now one of the fastest charging batteries globally. Moving forward, the original golden battery will be unified under the shared golden battery, and will incorporate advanced in house the technologies developed by the [ph] holding group, this upgraded battery platform will further enhance the growth about feet and Lynk & Co brand in 2025 and beyond. Building on this foundation, we are pushing the boundaries of charging technologies even further. Legal Group has officially launched the V4 ultra-fast megawatts project, which was the award leading peak single cow output of 1.3 megawatts. Different station is already being built-up and running in the city of Hondo [ph], delivering a total power output of over 1,400 kilowatts sufficient to support simultaneous ultra-fast charging for 3; a 100 bolt models across at ZEEKR and the Lincoln Cobra brands. Suddenly the global channels evolvement. Domestically we would continue to strengthen our store next week and expand into more lower tier markets. ZEEKR would leverage Link and Course, is the channel we sort it, to aggressively expand into lower tier markets. Sharing, after self-servicing, plus [indiscernible] improving accessibility for users, and the significantly boosting the ZEEKR overall channel coverage. Internationally, we are accelerating our global extension. Tier driver continues its sales growth. Beyond Europe, we plan to establish a unified sales company in the global market with a single team focused on developing international markets for the both brands. Currently, the Lynk & Co 08EMP and ZEEKR 7X are being shipped overseas. On the May 16, the ZEEKR 7X would commerce deliveries in Europe. As of the end of April, we have entered over 60 major international markets with a global retail footprint of over 1,200 stores, over 150 of which are located in the overseas market spanning Asia, Europe, Oceania, the Latin America, and Africa. And I believe that the Lynk & Co 08 and ZEEKR 7X would have a very good market performance in the global market because they're in the large segment and they are -- we already received a positive feedback from the customers. In conclusion, we believe that only those who embraces the change, can move forward. Only those of who innovates can grow stronger, and only those who reform and innovate with ultimate DXP [ph]. Since the first quarter, we've been implementing internal management reforms to unlock greater efficiency, enabling both, innovation and breakthroughs. Going forward, we remain committed to our clear long-term approach by aligning with the trends of the New Energy era and focusing on the global premium markets. We will drive success; I mean, the ongoing transformation of the global automotive industry. With that, I would hand over the call to our CFO, Mr. Yuan Jing, thanks everyone. Thank you, An. I would now go over our key financial results for the fourth quarter of this year. Given the time constraint, I will focus on the highlights and that’s quoted. To express our earnings press release and 16 announcements for the details. We are fixed to report a robust financial performance for the first quarter -- first full quarter since completing the strategic integration of ZEEKR and Lincoln thoughts. with strategic initiatives delivered both improves profitability and sustained growth across all key metrics. We have reached strong revenue growth and revenue at Eureka market. Our social vehicle deliveries reached 414,011 in first quarter 2025. For a year over year of growth of 21 point. Meanwhile, enhanced product and stronger brand synergies drove a 16.1 year over year increase in vehicle self-revenue as well. We also achieved another record high quarterly vehicle margin through disciplined [indiscernible] management and scale advisory [ph]. Our overall vehicle margin rose to 16.5%, up 3.4 percentage point year-over-year, and beating the guidance of 15% debt by management at the beginning of this year. The ZEEKR brand led the way with an all-time high margin of 21.2% while Lynk & Co’s margin reached 11.4% reflecting our ongoing focus on cost optimization and the premium product mix enhancement. Gross margin was 19.1% for the first quarter compared with 16.3% for the first quarter last year, and 18% for the fourth quarter of 2024. We have achieved improving operating efficiency and significant loss reduction. We leveraged platform-based R&D and optimized resource allocation to improve operational efficiency while expanding our vehicle lineup. R&D expenses were RMB2.9 billion for the first quarter of 2025, representing an increase of 25% year-over-year, decrease of 25.6% for the quarter-over-quarter, exceeding our savings target of 20% at the beginning of this year. SG&A expenses were maybe RMB2.65 billion for the first quarter of 2025; representing a decrease of 9.2% year-over-year and the decrease of 35.8% quarter-over-quarter. Together, higher revenue and improved spend efficiency narrow down our net loss by 60% year-over-year to RMB763 million for the first quarter of 2025; a major step towards sustainable profitability. So, before we move to the Q&A session, I would like to address that in order to ensure compliance with the culture [ph] regulations and to prevent inappropriate or misinterpretation remarks from affecting the pending privatization transaction; the company will not comment on matters related to the prioritization offer we received. A special committee composed of investment directors have been established to evaluate the offer, and all communication with the offer will be conducted by this committee. The company will make announcements at appropriate time in accordance with legal disclosure requirements for updates on private edition offer. Please refer to the company's official disclosures. So that concludes my prepared remarks. Thank you, everyone. Let’s move out to Q&A. Operator, could you read the Q&A instructions. Thank you.
Operator: [Operator Instructions] At this time, we’ll pause momentarily to assemble our rooster. The first question comes from Tina Hou with Goldman Sachs. Please go ahead.
Tina Hou: Hi, thanks management for taking my questions. So I have two questions. The first one is regarding the first four months sales volume, wondering if it's in line with management expectation. And then also, do we have an updated sales volume target for 2025 full year, and what would be the main model that's driving us to that 4 year target? And then the second question is, I would just like to see if management has any comments regarding the GDR tools provisional offering. We've also noticed that the shared prices craze [ph] is already above the offering cycle. So, just wondering what kind of comments if any management has on it, on anything that you can share no return to each other.
Conghui An: So, thank you so much for your questions by the Goldman tax and the analyst, colleague. And we acknowledge that and our sales performance in April is not that -- that is fine, and some might find my end. But we would say that this performance is actually in line with our measurement expectation. And we can say that we stay committed to the two other sales target of over 320,000 vehicles, obviously ZEEKR brands this year, and 390,000 vehicles for the Nintendo this year. So if they’ve committed to the 710,000. So we do not have any new product to launch in the first quarter, and that has some influence on our sales performance in the first quarter. And also we did not change our sales business policies in the first quarter, and that also placed a stress on our sales performance in the first quarter as well. But I think since the April, we launched the news ZEEKR 007TT [ph] as well as the Lynk & Co now hundreds; we would have a positive sales performance in May, and I believe in the rest of this year, with the launch of ZEEKR 9X and ZEEKR 8X, and Nintendo submitted to a large size of sedan. These new products were the contributor to the healthy positive sales performance in the remaining over this year [ph].
Tina Hou: And you might have learned from the media report and that we already -- we recently made some change in the heart of the organization among the different groups, the marketing and the sales unit; and we also actively expanding our network approach, that’s worked up in our approach. So in addition to the ZEEKR house, we already have, we also introduced the ZEEKR Agent mode for answer too quickly and setting to more lower. As we have been working on this for over 3 markets, and I think we can be positive the results from this move in the Q3 and Q4.
Conghui An: To answer your second question. I also would like to say that it's a difficult question, and I am asked [indiscernible] I am not the Board member over [indiscernible]. And I also learned the move from the public filing; so to ensure the compliance with the disclosure regulations and to prevent inappropriate remarks affecting the pending privatization and transaction, so the company would not comment on the matters related to the privatization for the year. And of course, our company take the privatization offer very seriously. So a special committee composed of independent director has been established to evaluate the offer, and all communications with the offer will be conducted by this committee. The company will make announcements at the proper time in accordance with the legal disclosure requirements. For updates on the privatization offer, please refer to the company's official disclosures. But during the period of time, if there's any need from our investors, our company's management will give our full support possible. So after the filing, the published -- also the filing by the [indiscernible] and also today at the conference meeting, I also had a conversation with Board members. So yes, if any ZEEKR investors want to further have a conversation, we will give support and make the line [ph]. If our investors would like to have a conversation with our special committee members, our independent directors, we can also make the contact for you. Thank you so much for your understanding.
Operator: And your next question comes from Tim Hsiao with Morgan Stanley.
Tim Hsiao: My question is about the product because ZEEKR’s first [indiscernible]. How should we think about the model contribution and the margin of which models into second half? And in the meantime, it would be great to get some feedback or some additional comment about the new models [ph]?
Conghui An: So before answering your questions, I would like to add two in response to Tina’s question. So first of all, after we launched the 007GT on May 15, we already achieved 10,000 delivery; so that shows that this model wins the customer recognition well. And the last month, in April we also launched the 009 grand edition. And also we received orders, we have exceeded our previous expectation. For the Lynk & Co 900, we also received very high number of orders intake. So our factories are working overtime to ensure timely deliveries to our customers. So based on these very positive market performance of these 3 models we launched recently, we have confidence that we can achieve our set target this year. So to respond to your question on the ZEEKR 9X and ZEEKR 8X, I think these two models have a very unique and acute positioning, and both models are positioned at a luxury segment, and they would both be equipped with a super electric hybrid power chain. So there's a big potential for both models. And after the debut of ZEEKR 9X at Shanghai Motor Show, we have received very high attention from the global media outlets and the industry and our customers. And the ZEEKR 9X, as well as the ZEEKR 8X have a very strong performances. ZEEKR 9X would be -- was the first 900 volt technology sub-vehicle model; and it was supported fastest charging speed and along with a pure EV driving range and the fastest acceleration, and this is a very unique SUV model in its segment. And the power to buy the super electric hybrid technology; it combines the good advantage of a pure EV powertrain, the plug-in hybrid powertrain and the range extender powertrain. I think this technology would be very leading in the new energy vehicles this sector. The length of ZEEKR 9X is between 5.2 to 5.3 meters; whilst the length of ZEEKR 8X will be around -- will be over 5 meters. So they share a lot of technologies in common but in different sizes; so they can target different segments. So from our perspective, in the large vehicle segment and EV self-growth was not as high as before whilst the [indiscernible] hybrid would have very good potential; not just in the Chinese market but also in the global market including Europe, the GCC countries, as well as the Southeast Asia markets. So we are in parallel developing our domestic products -- the products for our domestic markets, as well as for the international markets; aiming to timely deliver them to the global customers.
Yuan Jing: One last question. I think we’re about to close I think.
Operator: And the next question comes from Ming-Hsun Lee with Bank of America.
Ming-Hsun Lee: So, ZEEKR has developed the super hybrid technology and compared to the current PAGB [ph] cars or EV cars you like it [ph]. What is the major advantage for this new technology? And based on your expectations, how much extra volume sales do you expect after you provide the super hybrid version of your new models? And in future, will you also consider to provide the hybrid version for your existing models or you will be waiting for the models in the future?
Conghui An: First of all, Lynk & Co 900 is using the EMP powertrain system which has lot of technology in common with Geely’s powertrain system. And when it comes to the mechanical architecture, ZEEKR 900 used HPA [ph] architecture; an upgrade of the previous SPA architecture. And when it comes to ZEEKR; when we developed the last size or mid-to-large sized products, we were to use the super HPA hybrid technology which is different from EMP to differentiate the two brands. So, I would like -- I have already introduced our super electric hybrid technologies but I want to make some points here. First of all, on the power of our super electric hybrid technologies, no matter when you’re done -- battery is fully charged or the battery is running out of electricity, our super electric hybrid technology can both provide the very good driving performance like any other top-end luxury product. So that’s beating the performance of existing we have or EREB [ph] products in the market. Similarly on the charging, and so our super electric hybrid powered product will be equipped with battery pack of one variant with over 50 kilowatt hour and another variant around 80 kilowatt hour. And our powertrain would be a bit -- you keep it with 900 volt ultrafast charging technology. So we can support ultrafast charging providing the best charging experiences to our customers. And another very important competitive factor of our super electric hybrid technology is about the maintenance, the services. And so customers of our super electric hybrid product; they don’t need to go through the maintenance as frequently as the other vehicles. And the cost for maintenance services would be much lower than our peer’s products. And we would share more details and information about our super electric hybrid technology as a product and technology launched event later. But what I can say here is that we hope that our super electric hybrid technology will be the new benchmark. And our internal target was made when we registered the product -- the project to contribute to 150,000 vehicles to 200,000 vehicles per year for this product -- this powertrain product in the future.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Yuan Jing for any closing remarks.
Yuan Jing: So, thank you all for joining today's call. And as Mr. An mentioned earlier, the men here seemed more than happy to facilitate any of your concerns or discussions with either the Lynk & Co [ph] or our parent company, ZEEKR Group. If you have any other questions, please feel free to contact us or the ZEEKR Group IR team. Have a great day. Thank you and bye-bye.
Conghui An: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.